Operator: Ladies and gentlemen, welcome to the Basilea Pharmaceuticals Half Year Results 2021 Conference Call and Live Webcast. I am Sandra, the Chorus Call operator. [Operator Instructions]. The conference is being recorded. The presentation will be followed will be followed by a QA session. [Operator Instructions]. The conference must not be recorded for publication or broadcast. At this time, it's my pleasure to hand over to David Veitch, Chief Executive Officer. Please go ahead, sir.
David Veitch: Thank you. Hello. This is David Veitch, CEO of Basilea, and I would like to welcome you to our conference call and webcast, reviewing our financial results and key achievements for the first half year 2021 and discuss our upcoming milestones. I would also like to mention that this call contains forward-looking statements. Joining me on our call today are Adesh Kaul, our Chief Financial Officer; and Dr. Marc Engelhardt, our Chief Medical Officer.  This morning, we issued a press release and our half year financial report. I will firstly provide a brief summary of our key achievements for the year-to-date. I'm happy to report, thanks to the continued focus and commitment of our employees and despite the limitations caused by COVID-19, we were able to fully maintain our operations without any significant disruptions. We continue to see commercial progress and a significant growth in demand for our marketed brands, in particular, for Cresemba.  In-market sales of Cresemba increased to $266 million for the 12 months to March 2021. In our reporting, this increased demand is most clearly seen by looking at royalty income, which increased by 27% year-on-year. We also reported a 26% increase in total non-deferred Cresemba and Zevtera revenue. Our clinical study is progressing well. We reported positive clinical data for patients with FGFR2 fusion-positive bile duct cancer from the derazantinib FIDES-01 study, and we reported encouraging data on the long-lasting clinical benefit seen in EB1 positive glioblastoma patients who are treated in the Phase I study release of lisavanbulin. Our license partner for Cresemba in Japan at the Asahi Kasei Pharma reported the successful completion of the Phase III study in deep-seated mycoses and announced that they are now preparing a new drug application in order to gain a marketing authorization for Japan.  Also, our Phase III study with Zevtera in patients with Staphylococcus aureus bacteremia, which we have conducted in support of a marketing authorization in the United States, is on track to have patient enrollment completed around the year-end. We're also making progress towards expanding our pipeline. We are conducting the final preclinical studies for a potential first-in-class small molecule kinase inhibitor, which would become in early 2022, our third anti-cancer clinical program.  In addition, we received a non-dilutive research grant of up to $2.7 million from the global partnership, CARB-X, for the development of a novel antibiotic against drug-resistant bacteria. Furthermore, we had executed 2 strategic transactions. We divested our Chinese R&D subsidiary for a total consideration of $6.3 million. And also we successfully carried out a capital increase in the form of a private placement with institutional investors, which generated gross proceeds of around CHF46 million, which increases our financial flexibility going forward. Adesh will now give an update on our commercial progress and present more detailed financial highlights for the first half year 2021 as well as provide the details of our increased financial guidance for 2021. Then Marc will provide you with more detailed information on the progress of our clinical programs and upcoming milestones. I'll now hand over to Adesh.
Adesh Kaul: Thank you, David. In the first half of 2021, our partners continued to make significant progress in the commercialization of Cresemba and Zevtera. We see a strong increase in demand across the world. The latest in-market sales numbers available for Cresemba show that in the 12-month period ending March 31, 2021, sales grew by 18% year-on-year to $266 million, and they continue to grow, as demonstrated by the U.S. sales, which increased 25% year-on-year in the second quarter, as recently reported by our partner, Astellas.  Partnerships continue to play an important role in the execution of our global commercialization strategy and provide a strong basis for future revenue growth. Since the beginning of 2021, Cresemba has been launched in a number of additional countries. Now it is marketed in 53 countries, and we expect further countries to be added, leading to around 70 launch countries by the end of 2022. As already mentioned by David, our partner for Cresemba in Japan, Asahi Kasei Pharma, is now planning to file an NDA in the second half of 2021.  And in China, the review of Pfizer's marketing authorization applications for mucormycosis and invasive aspergillosis, which were accepted for review in May and October 2020, respectively, is ongoing. Zevtera is now on the market in 19 countries. In July, we announced our latest distribution agreement for Zevtera with Moscow-based JSC Lancet for Russia and the other countries of the Eurasian Economic Union.  Moving on to financials. I will highlight some of the key financial figures that were published today. All figures I will refer to are in Swiss francs. By the end of this year, we will have largely completed the significant change in our revenue mix. The noncash relevant recognition of deferred revenue, that means upfront, development and regulatory milestone payments received in prior years has reduced by 94.9% year-on-year, now representing less than 3% of our total Cresemba- and Zevtera-related revenue. This gives now a much clearer view on the actual underlying cash contribution of our commercial business.  We have reported CHF46.1 million in total Cresemba and Zevtera non-deferred revenue at 26.3% growth year-on-year. Royalty income, which most closely reflects the underlying strength of our key brand, Cresemba, in the major territories, grew by 27.2% year-on-year to CHF23.6 million. The other revenue components amounted to CHF6.8 million, which is a 6.9% decrease compared to the prior year, mainly driven by BARDA reimbursements which have decreased in line with the reduced development expenses incurred by us for the ceftobiprole Phase III program.  Considering all these factors, total revenue decreased by 21.8% to CHF54.2 million, largely driven by the phasing out of the deferred revenue contribution. Cost of products sold increased by 3.1% to CHF13.5 million. R&D and SG&A expenses combined decreased by 3.9% to CHF56.1 million, reflecting our continued focus on cost management. We reported an operating loss of CHF15.4 million compared to an operating profit of CHF12.8 million last year and a net loss of CHF19.9 million compared to a profit of CHF9.9 million in the previous year. Net cash used by operating activities was reduced significantly by 18% to CHF27.2 million, which provides an indication of the significant improvement in the underlying operational performance in the first half of 2021 compared to the prior year.  As of June 30, 2021, our combined cash and investments amounted to €164.7 million, which includes a cash outflow of approximately CHF13 million related to the reduction of our 2022 convertible bonds. In order to fully understand the significant progress that we continue to make in our commercial business, we'll need to have a closer look at the different revenue components. Royalties, non-deferred product revenue and milestone payments have all increased year-on-year. These are the components of our non-deferred Cresemba and Zevtera revenue, and they reflect the actual strength and progress of our commercial brands.  As guided for, deferred revenue has declined significantly by CHF24.2 million in the first half of 2021, which was the main driver for the reported decline in total revenue. A different way of tracking the continued progress in our Cresemba business is to look at our royalty revenue, which closely correlates with the in-market sales in the major territories. The time course does not only show the continued growth of the business, but also the seasonality of our royalty revenue, which is typically higher in the second half of a given calendar year due to the tiered royalty structure on U.S. sales.  When looking at our operational performance, there are important factors to bear in mind. We reported an operating profit of CHF12.8 million in the first half of 2020. However, the operating result was positively impacted by CHF15 million in one-off profit from the sale of our headquarters property and CHF25.5 million of deferred revenue.  Excluding these factors, the operating loss was CHF27.7 million in the first half of 2020 compared to an operating loss of CHF16.7 million in the first half of 2021 after the exclusion of CHF1.3 million in deferred revenue. This represents an improvement of 40% year-on-year on a like-for-like basis and provides a clearer comparison on the actual underlying operational performance.  I'm turning now to our financial guidance for 2021. As a result of the strong performance in the first half of 2021 and our expectation that the performance in the second half year will be even better, we are able to increase our financial guidance. We expect now total revenue to increase to CHF134 million to CHF144 million, driven by an anticipated 47% to 60% growth in non-deferred revenue contribution from Cresemba and Zevtera to CHF115 million to CHF125 million. This should be the last year that we separately discuss deferred revenue contributions from Cresemba and Zevtera as they will decline by around 93% to CHF2.5 million now that we have fully recognized the past upfront and milestone payments from our partners, Pfizer, Astellas and Gosun.  Based on our higher revenue expectation and unchanged expectation on cost and expenses, we now anticipate a better operating result, with an operating loss of CHF7 million to CHF17 million, which is an improvement as compared to 2020, excluding the one-off positive impact from the sale of the headquarters property. Finally, we assume a strong cash position of around CHF165 million to CHF170 million at year-end, excluding any impact from a reduction of the outstanding convertible bonds.  In the first half of 2021, the cash outflow related to this was approximately CHF13 million. Our year-end cash and investment guidance considers that certain milestone payments and product deliveries may actually occur towards the end of the year, which would result in us reporting the P&L impact in 2021, but the corresponding cash inflow only in 2022. I will now hand over to Marc for the clinical update and upcoming milestones.
Marc Engelhardt: Thank you, Adesh. Let me start with our antibiotic ceftobiprole. One of our key priorities for ceftobiprole is to gain access to the U.S. market, which is by far the most important country for the commercialization of branded hospital antibiotics. Our Phase III program includes 1 study TARGET in acute bacterial skin and skin structure infections and another study ERADICATE in Staphylococcus aureus bacteremia or bloodstream infections. The program is funded up to approximately 70% by BARDA, and this allows us to advance the development of ceftobiprole portfolio in this market in a cost-effective way.  As just Veitch reported, the funding has been increased by $4.3 million, bringing the total value of the contract up to $134.2 million. In 2019, we reported positive top line results from the TARGET study. For the ERADICATE study, we expect that patient enrollment will be completed around year-end 2021. So the study is on track for the reporting of top line results in the first half of 2022.  If the bacteremia study is also positive, Basilea plans to submit a New Drug Application to the FDA. And as ceftobiprole is designated a qualified infectious disease product by the FDA for these indications, it will be eligible to receive 10 years of market exclusivity in the U.S. from the date of approval. Nearly 120,000 Staphylococcus aureus bacteremia, SAB, infections have been reported in the U.S. in 2017. The ERADICATE study targets complicated SAB, which is an area of high medical need, substantial mobility and a 30-day mortality of approximately 20%. There are limited antibiotic treatment options with only 2 approved treatments in the U.S., which are vancomycin and daptomycin that cover both methicillin-susceptible and methicillin-resistant Staphylococcus aureus, or MSSA and MRSA.  Ceftobiprole, if approved in this indication, would provide a number of important benefits over existing treatments, including its strong activity against both MSSA and MRSA, its Gram-negative coverage, its activity in pulmonary infections and a low propensity for resistance development.  Now moving on to oncology. Our lead oncology drug candidate is derazantinib, which is a targeted orally available small molecule inhibitor of the fibroblast growth factor receptor, or FGFR, family of kinases. Our development strategy focuses on achieving differentiation over other FGFR kinase inhibitors by leveraging the unique properties of derazantinib. Key differentiating factors include its unique kinase inhibition profile and its clinical safety profile.  Our latest Clinical development program currently comprises 3 ongoing studies. FIDES-01 in intrahepatic cholangiocarcinoma, or iCCA, which is a type of bile duct cancer; FIDES-02 in urothelial cancer; and FIDES-03 in gastric cancer. In May 2021, we reported further improved top line results from the first cohort of the FIDES-01 study, which provides a clinical proof of concept for derazantinib as monotherapy in its first indication. This first cohort includes 103 patients with FGFR2 fusion-positive advanced iCCA in a second line and post second line treatment setting.  FGFR2 fusions occur in about 15% of patients with iCCA. The effective response rate in these patients was 21%, and the disease control rate was 75%. The median progression-free survival was 7.8 months, which is in the upper range report for this endpoint with FGFR inhibitors in this patient population. We're also making good progress in cohort 2 of the study, which is enrolling iCCA patients with FGFR2 mutations or amplifications and this is another area of high unmet medical need. We published positive interim results in March, indicating similar progression-free survival with derazantinib in this patient group to that reported from iCCA patients with FGFR2 fusion. We are aiming to report top line results in the first half of 2022. Derazantinib also continues to show a very manageable safety profile with low rates of retinal side effects, stomatitis, hand-foot syndrome and nail toxicity. Overall, these results underscore the favorable benefit to risk profile of derazantinib as a monotherapy in bile duct cancer.  FIDES-02 is a Phase I/II study with derazantinib as monotherapy and in combination with Roche's PD-L1 checkpoint inhibitor, atezolizumab. This is a multi-cohort clinical study in patients with advanced urothelial cancer expressing FGFR genetic aberrations.  For the cohort with patients who failed to respond to other FGFR inhibitors, interim results are expected in the second half of 2021, both for monotherapy and in combination with atezolizumab. In May, Basilea decided to explore higher daily doses for mono as well as combination therapy in the FIDES-02 study, and initial results from cohort receiving this intensified dose regimen are expected in the first half of 2022.  FIDES-03 explores derazantinib as monotherapy and in combination with atezolizumab and with Lilly's antiandrogenic drug ramucirumab with paclitaxel in patients with advanced gastric cancer and FGFR genetic aberrations. Clinical supply agreements are in place with Roche and Lilly who provide atezolizumab and ramucirumab. As in FIDES-02, higher daily doses are also explored in FIDES-03 with initial results expected in the first half of 2022.  Moving to our tumor checkpoint controller, lisavanbulin. We are focusing our clinical development activities with lisavanbulin, a novel microtubule targeting small molecule on glioblastoma, the most common and aggressive form of primary malignant brain tumors in an area of high unmet medical need with poor survival, high mortality and very few treatment options available. Two patients from the Phase I part of the ongoing clinical study whose tumors tested positive on the potential response-predictive biomarker EB1 are showing a long-lasting clinical benefit and have been successfully treated for more than 2 years.  One of these patients even experienced a reduction in tumor size of more than 80%. In July, the FDA granted lisavanbulin Orphan Drug Designation for the treatment of malignant glioma, which includes glioblastoma. This is positive news as the designation qualifies for various incentives, including longer regulatory market exclusivity. In the Phase II part of the study, only EB1 positive glioblastoma patients are being enrolled, and Basilea expect interim results at the end of 2021 and top line results in the first half of 2022.  If these results provide a clinical proof of concept in glioblastoma, this would support exploring the selection of patients based on EB1 positivity in other tumor types as well. EB1 prevalence data reported at the ASCO conference in June indicate that approximately 5% of glioblastoma tissue samples were found to be EB1 positive. The strongest expression of EB1 in non- glioblastoma tumors was detected in tissue samples from medulloblastomas and neuroblastomas, which are cancers that occur predominantly in the pediatric population.  EB1 positive staining was also found in tissue samples from metastatic melanoma and other tumors expressing slightly lower levels of EB1 stain includes non-small cell lung cancer, colorectal cancer and triple-negative breast cancer. I will now turn it over to David.
David Veitch: Thank you, Marc. In summary, we continue on track with the execution of our strategy and our 2 business pillars of oncology and infectious diseases. We are significantly growing our cash relevant revenues from our marketed brands, Cresemba and Zevtera. We are also on track to have Cresemba launched in 60 countries by the end of this year and expect to increase that to 70 by the end of 2022. We are also continuing to advance our R&D portfolio towards the next milestones through 2021 and 2022. Second half of 2021 and the first half 2022 hold a number of important milestones, especially related to our clinical programs. We anticipate the filing of an NDA by our partner, Asahi Kasei Pharma, later this year with the goal to gain marketing approval of Cresemba in Japan. In addition, we expect the patient enrollment in ceftobiprole Phase III ERADICATE study will be completed around year-end, thus on track for reporting top line results first half 2022.  On derazantinib, we're expecting interim results in the second half of the year in the FIDES-02 study for patients with urothelial cancer refractory to prior FGFR inhibitors with derazantinib as both monotherapy and combination of therapy with atezolizumab. Lisavanbulin, we're expecting interim results from the EB1 biomarker-driven Phase II study in recurrent glioblastoma by the end of the year, followed by top line results in the first half 2022.  Finally, if the preclinical studies with our new oncology drug candidate are successfully completed, we are planning to file an investigational New Drug Application later this year. If granted, this will allow us to start a Phase I clinical study in early 2022, adding a third compound to our clinical oncology pipeline. Thank you for your attention, and we'll now open the line up to your questions.
Operator: [Operator Instructions]. The first question comes from Louise Chen from Cantor.
Louise Chen: Congratulations on a great quarter. So my 3 questions for you are number one, can you provide any more color on your new oncology drug candidate, the potential first-in-class small molecule kinase inhibitor? And where it fits into your pipeline of products.  And then secondly, what do you think about expanding your oncology pipeline and it's been a focus for you? And if you've thought about that, what areas do you think you might want to bolster? And then last question I had for you is, how do we think about the market opportunity for lisavanbulin in GBM and the patients that have that EB1 biomarker?
David Veitch: Okay. Thank you, Louise. And yes, I'll take maybe your first couple of questions, and then I'll hand over to Marc to talk about the GBM market opportunity with EB1 patients. But in terms of your -- I mean, we can't say too much detail, but what we can say is that we have a early -- it's in very late stages of the IND-enabling studies. All is going well at the moment, and we hope later this half year to be able to file for the IND. It's a small molecule kinase inhibitor. We've previously stated it was the result of an in-licensing back in 2018. So this is an example of our sort of dual strategy of bringing things through from our own discovery and development, in addition to in-licensing selectively compounds.  It fits in the sweet spot of ours in terms of a targeted small molecule. And this is very much what we look for in terms of in-licensing as well as our own development programs. And as I said, if all goes according to the plan and the IND is approved later this year, we can start and we're already preparing that now. The clinical study is very early in 2022. In terms of behind that, what I would just comment is obviously even less information we can provide on those now, but we do have a number of other preclinical assets, actually, again, in oncology behind that, that we're hoping to find clinical candidates towards IND-enabling such studies. And it's more in the oncology area that we've got the more preclinical assets closer to the clinic and in the anti-infective space.  We have anti-infected compounds as well, but they're a bit further out in terms of away from the clinic than the oncology ones. That's what I would sort of -- all I can really say at this point in time about the earlier oncology assets. Suffice to say, we are continually also looking externally for other compounds that we believe can fit into this our portfolio that fulfill the same criteria that we've looked at so far in terms of small molecule targeted compounds and the particular areas that we look at in terms of targets, et cetera. But what I just pass over to Marc to take the GBM opportunity question.
Marc Engelhardt: Yes. Thanks very much, Louise, for the question. So in GBM, as we all know, there's really a high medical need for new treatments, especially in the recurrent setting, there's really not any satisfactory standard. I mean lomustine is a very old drug that's used and with very low response rates. In some countries, triple combinations are used, but all of these the treatments are quite unsatisfactory. So if we saw that EB1 is enriching for response for lisavanbulin, we certainly have a standing to become a standard treatment in the recurrent setting for EB1 positive patients, and the testing approach for these would probably be relatively straightforward.  We have an immunohistochemistry test, which could be implemented broadly in pathology labs. We believe there would be probably quite easy to have a broad coverage of EB1 testing in pathology labs. If this shows to be response predictive, the natural step would be in glioblastoma to go into a first-line setting. And as you know, we have already a study ongoing in combination with radiotherapy. So we will have information on the dose that can be given when lisavanbulin is combined with radiotherapy.  And then the question, I think, for the further opportunity beyond glioblastoma depends a little bit on whether EB1 is more an agnostic predictor if the GBM would have a proof of concept, and this could be extended beyond GBM. But as said, from our perspective, if there is a response prediction, it would be quite straightforward to implement it.
Operator: The next question comes from Brian White from Calvine Partners.
Brian White: I've got one on lisavanbulin and then on derazantinib. Just following on from what you answered there Marc, just looking at the development pipeline of lisavanbulin, is your intention as I understand that post these Phase II data at an additional setting for lisavanbulin in the first line? Are you going to speak to the regulators post the Phase II data and end of Phase II meeting with potential of a regularity filing? But also just in terms of the various counts that you spoke about or mentioned in the release, would you envisage a basket study to look and see which will be the most appropriate indications?  Then the second question is on the derazantinib. It looks as though resistance is going to be inevitable to this class. Do you think that is a class effect? Do you think that there is a possibility that derazantinib may be applicable to other resistant FGFR inhibitors? And do you think dose intensification maybe a way of dealing with that? Or do you think it will take a combination approach?
David Veitch: Thanks, Brian, for the question. Well, I mean, Marc, I'm going to look at you and you're probably best placed to comment on the lisavanbulin and derazantinib, and then we can chip in.
Marc Engelhardt: Yes. Thanks very much for the question. I think it's -- the lisavanbulin is a continuation of the previous answer. We've always said that the proof of concept needs to come from glioblastoma, where we have seen in the Phase I study and efficacy signal that we need to validate prospectively. And we are already -- we've done epidemiology work as indicated in the presentation, but also as published at ASCO and there's certainly EB1 positivity in other cancer types. These are sometimes small cancer types, but also we've seen a signal in metastatic melanoma and also in the really large cancer types. So we would certainly try to find a way to extend this beyond glioblastoma in the sense of a basket.  But I think we first need to see what type of response you know, how fast are these responses, how deep are they if we see them? And then we can make a decision whether we want to expand through different lines in glioblastoma or offering this to a more agnostic basket. So that would be my short response for the lisavanbulin question.
David Veitch: Just to jump in because I think you touched on it, Brian, just to add one thing to what Marc said is that, yes, the thinking we have at the moment though is that follow -- if it was a positive proof of concept in GBM, we would then likely then contact the health authorities to discuss the development strategy in both GBM and other tumor types. So we would do that because you did...
Brian White: Yes.
David Veitch: And as you indicated, I think, in end of Phase II meeting that would be probably the format to do that. And then the derazantinib resistance dose intensification?
Marc Engelhardt: Yes. So I believe the dosing intensification has several reasons, one of which is to -- it's the competitive landscape in the urothelial cancer, but is also it certainly a higher dose also from the resistance development is always, if anything, it's something positive to give. And the question whether you could use different FGFR inhibitors in sequence because the resistance of one FGFR inhibitor doesn't mean that another FGFR inhibitor may not work -- may actually work. That's what we're currently testing in urothelial cancer, and that's where we plan to provide interim data in the second half 2021 where we're exactly treating patients with urothelial cancers that had a treatment on another FGFR inhibitor, and this will certainly contribute to the answer.  And I think you also indicated whether there's a difference in using an FGFR inhibitor or trying combinations. And I think it depends really on the resistance mechanism. And there's work ongoing not only by us but also by other companies to elucidate that.
Operator: The next question comes from Bob Pooler from Valuation Lab.
Bob Pooler: Three questions for me. Do you see more initiatives to combat bacterial resistance on the back of the COVID-19 pandemic? And which pipeline expansion, do you have a preference for oncology or anti-infective? And then thirdly, on lisavanbulin, the exceptional responder that you had, you had 3 EB1 positive, you had 1 exceptional responder. Did that person have a strong EB1 staining? So really into that sort of slices of the pie chart that you have 6% in glioblastoma.
David Veitch: Can you start with that one, Marc?
Marc Engelhardt: Yes. So the exceptional responder had -- the tissue of that patient had a strong EB1 staining. And I think that kind of was the starting point. To explore this, we had EB1 as a biomarker. Before this, we published in 2015, '16 animal data, where -- and with high EB1 expressing glioblastoma versus suppressed EB1 glioblastoma were treated with lisavanbulin. And there was quite clear effects that lisavanbulin -- that the EB1 was response predictive. So when we saw the strong EB1 staining in this exam we formally started staining tissues.  And as we mentioned in the ASCO presentation in this Phase I study, we had 3 patients with strong EB1 staining. And out of these 3 patients, 1 was the exceptional responder. The other is the patient with a long ongoing stable disease for more than 2 years. And then there was 1 patient that had a progression. So 3 EB1 positive, 2 with really long-standing clinical benefit. And amongst the EB1 negative patients in the Phase I study, we didn't see any long-term clinical benefit in these patients. That's how we kind of -- that was the starting point. And now we're trying to show prospectively that this is actually a response predictive marker moving forward.
Bob Pooler: During the trial, you will include then enrolled in a strong EB1 stain patients, so not moderate?
Marc Engelhardt: Correct. So we are -- we have criteria to select the strong EB1 staining. And this is done by an immunohistochemistry test. And I think if this turns out to be response predictive, and this may be part of your question, then I think we probably would need to think about what is the best threshold because that is we use the threshold that was guided by what we had observed in the Phase I study. And then the question whether you could go lower with the threshold, that's the question we would subsequently address.
David Veitch: And then, Bob, your question around -- on the back of COVID-19, has there been more focused or more momentum in terms of antimicrobial resistance initiatives? I think probably the short answer is, I think my feeling is -- my subjective feeling is, yes. I think in terms of objectively, what evidence is that I think probably the best example actually is the submission of the Pasteur Act, which has started the legislative process in the U.S. I think it was June this year, and that's probably the best example of a real pull incentive, which if it became law in the U.S., which is -- the proposed act is centering on this concept of it's a subscription model for antibiotics.  So delinking volume from quantity sold. And obviously, that's, I guess, you could say, an objective sign that antimicrobial resistance is definitely not going away as a global issue. And then in Europe, in certain countries of Europe and the European level, there have also been more initiatives and talk of initiatives to try and also address the same problem around creating real pull incentives. On top of that, the effective push incentives like, for example, the BARDA funding that we've talked about earlier that are available, and we make use of, which really help with regards to getting drugs to market. But in terms of them allowing them to be more commercially viable, I think there's definitely building momentum, I think, I would say, and there's more evidence of that as time progresses. Can I just -- what was your second question?
Bob Pooler: Just on your pipeline expansion, do you have any preference for oncology or anti-infective assets?
Adesh Kaul: So maybe I'll take this one. So just to remind you, we have announced actually just this half year about -- that we have two early-stage assets in both areas. So we have the CARB-X funding for novel antibiotics, which underscores our continued commitment to the space; and the early oncology compound, which was already discussed on this call. So from that perspective, both areas still remain in our focus. And forward going, we will continue to look at opportunities in both areas.  Just from a perspective of now in-licensing or partnering, there are simply more opportunities available in the oncology space. So just by the nature of the game and by looking at the numbers, there are just more opportunities on the oncology side. And that will probably also be reflected a little bit in how we are moving forward in that -- on the oncology side, we'll probably see more activities, more and more projects that we'll be pursuing.
Operator: [Operator Instructions]. Gentleman, so far there are no more questions.
David Veitch: Okay. Thank you very much for your interest, and enjoy the rest of your day. Thank you very much.
Operator: Ladies and gentlemen, the conference is now over. Thank you for choosing Chorus call, and thank you for participating in the conference. You may now disconnect your lines. Goodbye.